Operator: Good morning, ladies and gentlemen, and welcome to Boralex Fourth Quarter 2025 Financial Results Conference Call. [Operator Instructions] Please note that the conference is being recorded. [Operator Instructions] Finally, media representatives are invited to contact Camille Laventure, Senior Advisor, Public Affairs and External Communications at Boralex. Her contact information is provided at the end of the quarterly press release. And now I would like to turn the call over to Coline Desurmont, Director, Investor Relations for Boralex. Please go ahead.
Coline Desurmont: Thank you, operator. Good morning, everyone. Welcome to Boralex's Fourth Quarter and Year-end Results Conference Call. On today's call, Patrick Decostre, our President and Chief Executive Officer, will provide an update of our business. Afterwards, Stephane Milot, our Executive Vice President and Interim Chief Financial Officer, will present the financial highlights of the quarter. Then we will be available to answer your questions. During this call, we will discuss historical as well as forward-looking information. When talking about the future, there are a variety of risk factors that have been listed in our different filings, which can materially change our estimated results. These documents are all available for consultation on SEDAR. Mr. Decostre will now start with his comments. Please go ahead, Patrick.
Patrick Decostre: Thank you, Coline, and good morning, everyone. Thank you for joining us today. It's a pleasure for me to present our results and key achievements for the fourth quarter and fiscal year 2025. 2025 was a year of strong execution for Boralex despite greater quarterly volatility in resource generation and unfavorable year-over-year pricing comparison in France. We remain disciplined in our approach focused on our long-term strategy and continue to deliver sustainable growth while reinforcing our leadership in renewable energy. We have been very active in the fall by submitting projects in 4 different RFPs, 2 in Ontario, 1 in New York State and 1 in the U.K. The demand for renewable remains very solid in our different markets, and we're counting on a very strong pipeline of projects to benefit from for years to come. These results not only reflects the strength and commitment of our talented teams across the organization, but also the resilience of our business model and our strong focus on creating long-term value for our shareholders and partners. In terms of financial performance. For fiscal year 2025, total combined production was 8% higher than in 2024, but 10% below anticipated production. Wind conditions in 2025 improved compared to last year throughout North America and the commissioning of new projects provided a significant advantage. However, overall wind levels in France and in the United States fell short of our projections. As a result, our financial performance in 2025 is below our expectations for a combined operating income of CAD 248 million and a combined EBITDA of CAD 655 million, down 2% from 2024. The increase in production was not sufficient to offset the negative impact of lower selling prices in France, as expected, due to lower prices on our short-term contract. Stephane will cover later in more details our fourth quarter results. On the development side, 2025 was a very good year for Boralex with our portfolio of development projects and growth trajectory now exceeding 8.2 gigawatts. Our installed capacity stands at 3.8 gigawatts, representing an increase of 615 megawatts, driven entirely by organic growth. During the year, our company entered a new phase with the launch of our 2030 strategic plan, building on the strong foundation we have established over many years and setting a clear path for continued long-term success. Since its introduction, we have made significant progress in our 4 key markets. In the United Kingdom, the commissioning of Limekiln wind farm reflects our expansion in that high potential market. Our position was also solidified with receiving ministerial approval for the 189-megawatt Clashindarroch extension, which includes both wind and battery storage. And with the recent award of a CfD for the Sallachy 44-megawatt Sallachy wind farm through the AR7 process. Meanwhile, in France, we have consolidated our leadership position with the commissioning of 2 wind farms, Fontaine-Les-Boulans and Febvin-Palfart, totaling 29 megawatts. In addition, Boralex ranked first by cumulative capacity in the most recent French Wind Auction, securing 2 projects with a total capacity of 125 megawatts. In the U.S., we signed 2 contracts with NYSERDA for the Fort Covington and Two Rivers Solar Project, totaling 450 megawatts. Both projects have advanced to the secured stage within the year. Looking to our progress in Canada. The commissioning of our Apuiat wind farm marks an important step in Quebec renewable energy journey. We are also moving forward with the construction of 2 major wind projects, Des Neiges Sud, for which we secured financing earlier this year, and most recently, Des Neiges Charlevoix. Finally, we reached an important milestone with the successful deployment of battery energy storage technology. This quarter, we have -- we commissioned the Sanjgon battery energy storage system, Boralex's first operational storage project in North America developed in partnership with the Walpole Island First Nation. The Hagersville battery energy storage project also began operations in Q4 2025, and we are very pleased to announce the commercial commissioning of the site as we received yesterday the retroactive confirmation from IESO effective February 18. This project is the largest battery storage project in Canada and has been developed in partnership with The Six Nations of the Grand River Partners First Nations. Together, these projects add 380 megawatts to our installed capacity, making us the largest battery storage operator in Canada. We also highlight the rapid expansion of our storage activities in Ontario and the continued diversification of our portfolio in terms of technologies and also in terms of type of revenues. Both projects demonstrate our team's strong execution and ability to successfully scale new technologies in new regions. Turning to market updates. Quebec continues to show strong momentum in renewable energy development. Hydro-Quebec has confirmed that it will launch a new call for wind power tenders in spring 2026 for Southern Quebec while launching earlier this week a call for partners for its major development zone. With our sustained presence and ongoing development activities in this market, we are well positioned to capture these upcoming opportunities. At the federal level, Ottawa has introduced 25 global tariffs on certain steel derived products, including wind turbine towers, while also tightening import quotas. Partial exemptions have been granted and additional carve-outs may follow, particularly for projects already contracted or currently under procurement. In the United States, NYSERDA 2025 call for tenders closed in December with results expected shortly. Also, NYSERDA has been granted expanded authority to procure up to 5.6 terawatt hour per year by 2029, signaling continued policy support and long-term demand for renewable energy in New York State. In France, after a period of uncertainty, the publication of the third Pluriannual Energy Plan in February 2026 finally sets the country's energy trajectory through 2035. It aims to increase the share of decarbonized energy in final consumption to around 60% by 2030, supported by a mix of renewable energy and nuclear generation. The framework also confirms the relaunch of renewable energy tenders starting in 2026. I will now briefly review the main variances in our development project portfolio and growth path. Our portfolio of early, mid and advanced stages project now represents 7.2 gigawatt. The change was mainly due to the addition of projects in the early and mid-stage totaling 1,383 megawatt, partly offset by the transition of project to the secured stage and by the discontinuation or sale of other projects. The growth path now consists of 1.1 gigawatt of wind, solar and battery storage projects. The evolution of the growth path included the addition of new projects in the secured stage, including Fort Covington and Two Rivers Solar Project totaling 450 megawatts, and the 125-megawatt Oxford BESS project. This increase was partially offset by the start of operation of 6 projects during the year, representing 615 megawatts that moved into operation. At the beginning of its new strategic plan, Boralex is very well positioned to deliver strong organic growth going forward in each of its targeted market. Before handing it over to Stephane, I would like to say a few words on the appointment of Philippe Bonin as the new CFO announced this morning. I'm very pleased to welcome Philippe in the Boralex team. Philippe will bring extensive leadership experience from major companies in a variety of sectors and a strong strategic mindset that will be essential in supporting our 2030 growth ambitions. We look forward to his contribution as we continue to make Boralex evolve to deliver on our key objectives. I also want to sincerely thank Stephane Milot for his outstanding work during the interim period. His dedication and deep understanding of our business has been invaluable during this transition. On a more personal note, Stephane, I want to express how grateful I am to be working with you. Your truly compassionate and people-centered leadership has made a meaningful impact here at Boralex. You are highly appreciated throughout the company, and we are very lucky to have your ongoing support and great spirit well beyond the scope of your responsibilities. Thank you, Stephane. [Foreign Language]
Stéphane Milot: Hi, everyone. Thank you, Patrick, for your kind words. It has been a great opportunity with a lot of work, but also a lot of fun, I can tell you. So I truly appreciate it and look forward to continuing our journey together. Special thanks to our finance team at Corporate, North America, Europe. You rock, everyone. We did -- what a past 6 months we had together. So you really made the difference. Thank you. So now back to the quarter. Total combined production was up 17% compared to the same quarter last year, driven by more favorable wind conditions and the impact of newly commissioned sites in Europe and North America. Production was nevertheless 7% lower than anticipated due to unfavorable weather conditions in North America and to a lesser extent, in Europe. Our combined EBITDA amounted to $203 million, up $12 million, and consolidated discretionary cash flows amounted to $56 million, up $9 million compared to the fourth quarter of 2024. The financial results were positively impacted by better wind conditions and the contribution of newly commissioned sites in Europe and Canada, partially offset by the impact of lower prices of short-term contracts in France. I will now provide a more detailed overview of our quarterly production. So in North America, total combined production for the quarter was 5% higher than the same quarter last year, but 9% lower than anticipated production. Production from wind assets in North America was 9% higher compared to the same quarter last year. However, production came in 6% below expectations, mainly due to lower contribution from U.S. wind farms. Production from wind -- not, sorry, from hydro assets was 23% lower than last year and 30% lower than anticipated, mainly due to unfavorable weather conditions across North America. Production from solar assets in the United States was 9% lower than the same quarter last year and 5% lower than anticipated. In Europe, total production was 40% higher compared to the same quarter last year, but 4% lower than anticipated. Regarding our balance sheet, available liquidity and authorized financing amounted to $681 million as of December 31, 2025, an increase of $158 million compared to December 31 of last year. Total debt stood at $4.4 billion, with project debt accounting for 85% of the total. I would like to congratulate again our finance team for delivering [ especially ] results this year, securing $1 billion in project financing and closing $250 million corporate financing jointly led by La Caisse and Fondaction in Quebec. So these achievements highlight our ability to structure sophisticated financings on optimal terms, strengthening our financial flexibility and positioning us well to achieve our 2030 objectives. So lastly, this year was an important one on the CSR front. Boralex was ranked first in the annual Best 50 Corporate Citizens ranking by Corporate Knights, demonstrating our leadership in sustainability among Canadian companies. Other recognitions received this year include an award presented to Boralex France for its diversity initiatives as well as the price awarded to the Hagersville battery energy storage project by the Canadian Renewable Energy Association for the Innovative Canadian Clean Energy Project of the Year. These achievements illustrate Boralex's ability to combine performance, innovation, and lasting positive impact in the communities where we operate. For more information, I invite you to read our 2025 CSR report, which was published earlier this morning along with all the other annual documents that were published. So in conclusion, 2025 was a successful year for Boralex with the launch of our new strategic plan, supported by the commissioning of large-scale projects in our key markets. And looking ahead, we are very excited for the years to come, and we will continue our efforts to execute on our projects. We have been active in recent tender processes in Ontario, New York State while carefully preparing for the upcoming 2026 wind power call for tender announced by Hydro-Quebec. So driven by sustained demand for renewable energy, Boralex continues to grow in a disciplined yet ambitious manner, backed by a renewable team that is fully engaged and committed to implement our strategic plan and achieve our growth objectives. Thank you for your attention. We are now ready to take your questions. Yes.
Operator: [Operator Instructions] We are now going to proceed with our first question, and the question comes from the line of Baltej Sidhu from National Bank of Canada.
Baltej Sidhu: Looking forward to continue working with you, Stephane. So just a few questions for me here. On the French wind roll-offs, I think the government in France noted that it's going to be focusing on repowering existing wind farms to increase capacity and protect the environment, which we believe is going to be beneficial to your portfolio. So could you just provide a little bit of insight as to how we should be thinking about the French portfolio in that regard and what you've identified to be repowered? I don't know, you have Ally-Mercoeur and also Le Grand Camp. But any other additional details you can provide?
Patrick Decostre: Yes, sure. Indeed, the government is looking to this to favor the social acceptability of project and make them easier to be authorized. Our team, as you know, we have had a recurring strategy before the 2022 crisis, and we have postponed it a little bit because the prices were so high that it was interesting to catch this value during -- up to 2025. So no, the team -- in between, the team has worked on roughly 450 megawatts of new project reborrowing that will increase. In this 450 megawatts, there is 200 megawatts of new capacity. So it means that we have taken 250 megawatts of projects in operation and we have worked to obtain an authorization on this project. Half of these projects have already been authorized. So we will be ready to bid them in the next RFP when they will come. And typically, the Ally-Mercoeur project is both a repowering and an extension of a project that we put in service 21 year ago, I was 21 years younger at that time and you too, in France of 39 megawatts and now it's 104-megawatt project that will be put in service in 2028. So this is typically an advantage, as you mentioned, for Boralex going forward.
Stéphane Milot: Yes. Just maybe a point on the megawatt that Patrick mentioned. This is like for the next, I would say, 5 years or so, like it will be bid in upcoming RFPs. It's like -- just want to mention that.
Patrick Decostre: Yes. And it's a favorable situation also in terms of return. Obviously, We are developing where we are. Thanks, I would say, to the situation in the U.S., there is a little bit more pressure on the price of the turbine worldwide. So we are able to secure good price in France, as you have seen, around EUR 86 per megawatt hour, the last tender. And the price of the turbine are kept down. So it's a good return that we will have to execute with this project.
Baltej Sidhu: Excellent. That's great color. So just sticking on with France and the other side of the equation towards pricing. We're looking at merchants and recontracting prices that you've noted. Do you see them coming in line with your expectations? And how do we think about the cadence of recontracting those assets that are now coming off those short-term contracts?
Patrick Decostre: Essentially, in France, we have a policy of what we call the reference hedging path. So we are fixing the price every year in advance, up to 3 years in advance. And the percentage of that is hedged is increasing the soon -- the closer you are to the gate closure of the year before. So that is exactly what we're doing. So we are -- you have to understand that our team is always in the market on this with -- this is always pay as produced contract also. We are not taking volume commitment on that, and they are comparing to the possibility also to go with the brownfield PPA. But you understand that 250 megawatts of project that will be repowered in the next years is part of this portfolio of projects that are emerging today because it was the project -- the contract we early terminate in 2022. So that is another avenue for this project is to be increased and securing a 20-year contract with EDF again.
Stéphane Milot: But in the current context, it's for sure that the priority is to go with the EDF contract so to build these projects. But we did, as Patrick mentioned, we had for specifically those projects, but not project, but assets where we exited the contracts, we made a lot of money in the past few years. So that was a good decision to push the repowering forward.
Baltej Sidhu: Great. And then just one more for me here. Could you give us an update on your 2 U.S. solar farms that I think has secured a contract, Fort Covington and Two Rivers that Patrick had touched on in the prepared remarks. So what conditions do we need to see for those 2 projects products to cross the line towards FID and if there's any expectations on kind of timing, if you can give any details on that?
Patrick Decostre: Yes. Essentially, on these projects, we are working on finalizing the investment decision in terms of finalizing negotiation with model suppliers, finalizing negotiation with a BoP supplier and engineering at the same time to optimize them. So the team is working hard on this. And yes, we will provide information when we would be ready to take this investment decision.
Operator: We are now going to proceed with our next question, and the questions come from the line of Sean Steuart from TD Cowen.
Sean Steuart: A couple of questions. Patrick, hoping you can give some perspective on the upcoming wind tender from Hydro-Quebec, whether it's partnering with them on larger scale projects or advancing your own projects. Can you give us a sense of the magnitude you anticipate participating or at least submitting into that tender and expected timing on -- the clarity on timing with respect towards -- with respect to that tender.
Patrick Decostre: Yes. There is 2 things. There is one for large-scale project in Hydro-Quebec as open one area, which is called Wocawson for a partnership selection process. This is -- we are -- Boralex meets all the minimum eligibility criteria for the selection. As you know, we are a partner with Hydro-Quebec since years. And so we know we have good communication with them. We know how to work with them. And our team is presently looking to all the RFP requirements, the governance structure and how we can play this with them. This is a partnership between Hydro-Quebec, Alliance de l'Est, and IPP, and it confirms what Hydro-Quebec has said 2 years ago that for the large project, they will go with IPP. So that is, I think, the good news because I know that in the market, there was a question about this. So this is confirming what we are seeing and what Hydro-Quebec has been saying for the last 2 years that there will be a position for IPPs there. So that's one thing. The other point is they mentioned that there will be consolidation for a call for tender for a minimum of 150-megawatt size of project in Southern Quebec, and this is typically aligned with the Boralex development footprint and experience and the relationship that we have with indigenous community. And the consultation is now. The bid are due in February '27, and the award is scheduled for August '27 next year. So this is also something that is -- it will be, again, long-term contract. So very classical project in Quebec for Boralex, and we will be there to bid.
Sean Steuart: Okay. And then maybe a question for Stephane. As you work to move more projects into the secure development pipeline. Can you comment on the funding platform? Any thoughts towards incremental asset recycling or refinancing initiatives that you might have in your thought process towards bolstering liquidity?
Stéphane Milot: Yes. So it's really aligned with the plan we presented in last June. So asset recycling, not necessarily in the near future, but they're in the plan. And also, like you've seen with the debt with La Caisse and Fondaction. So corporate debt, asset recycling and potential refinancing, we're working on a large one in France and always looking at other opportunities to get better conditions or flexibility in terms of financing. So pretty much in line with plan.
Operator: [Operator Instructions] We are now going to proceed with our next question, and the questions come from the line of Nelson Ng from RBC Capital Markets.
Nelson Ng: My first question just relates to Hagersville. So congrats on commissioning the project. I just want to clarify, I guess, given that it was operating since December, but only commissioned last week, will that project make a full quarter financial contribution in Q1?
Stéphane Milot: Yes. We got some very limited revenue in the fourth quarter but it will kick in starting more at, say from mid-February with more regular revenue stream. So you can, in your modeling, take this data, the kind of a date to start applying the contribution that we've discussed with you in the past.
Nelson Ng: Okay. Perfect. And then just looking at that growth path chart and just looking at some of the bigger projects on the secured list. So I think you were talking about the New York solar projects earlier. The plan is to complete those projects by -- or in 2028, right?
Stéphane Milot: Yes. So we're still working on with that schedule in mind. Yes. So we're going as fast as we can.
Nelson Ng: Okay. And then for the Oxford battery project, is that also a 2028 completion date project?
Stéphane Milot: No. That's a 2027, if I recall.
Patrick Decostre: Mid '27, yes. Yes, we obtained all the authorization. There was some final authorization that should be obtained and we were planning to obtain them in March. And finally, in February, we get everything this year. So we are -- the kickoff meeting of the project was this week.
Stéphane Milot: It's going really well, financing also, everything is in line. It's going to be -- it's all green, if I could say, on this one.
Nelson Ng: Great. And then one other thing. So you were talking about recontracting in France, but I know in Texas and New Mexico, I think there are a few projects that might be selling power on a merchant basis. And I know, I guess it's a joint decision given that you own 50% of the assets. But given the demand for power in that region, like what are your thoughts on whether it's recontracting those assets, repowering them?
Stéphane Milot: I will -- just one thing before -- go ahead, Nelson.
Nelson Ng: Yes. No, I'm just thinking in terms of from a repowering perspective. Like time is -- I think, time is running out in terms of prequalifying them for tax credit. So can you just talk about recontracting, repowering and some of the considerations you're looking at?
Stéphane Milot: Yes. I will let Patrick answer this one. But just before, you talked about recontracting in France. It's really more like our typical repowering project that we're looking at in France, which is really like, you know, it's like almost -- it's a rebuild. It's not a repower like it could be seen in the U.S. So it's a new project where we're looking at it, and we are taking into consideration the fact that when we repower or rebuild, we remove the -- what we had in place and when we looked at returns, it's a net return on the overall project. So I just want to make sure everyone on the line get this part. As far as U.S. is concerned, we're not in a position right now to indicate exactly what's going to be our strategy there, but we're working on different scenarios.
Nelson Ng: Okay. Got it. And then just one last question. You mentioned the short-term contracts in France in terms of the pricing headwind. I think I was doing the rough math, and I think the realized European wind price year-over-year was down about 22%, and I presume those short-term contracts are the key driver. But when you look forward into 2026, is there a rough expectation in terms of what the realized wind price would be in terms of -- like is it a smaller step down in '26?
Stéphane Milot: Yes. I think as you know, all the pricing effect, Nelson, has different parts to it. For merchant, I think if you look at the forward curves, it will give you an idea. But as far as contract is concerned, we still expect in 2026 a negative but much less important negative effect than what we got in 2025, but still a negative variation because of the way we have set up the contracts when we exited contracts in end of 2022. And also the fact that we had a window, as you know, to like the 18 months measure that we could benefit from. So it's all that, that we got the benefit in a few years back and then now it's like unwinding. So 2026 will be the last year where we'll get this effect. After that, it's going to be more back to normal.
Operator: There are currently no further questions at this time. So I'll hand back to you for closing remarks.
Stéphane Milot: All right. Let's go, Coline.
Coline Desurmont: Yes. Thanks, everyone, for your attention. Our next conference call to announce first quarter results will be on Thursday, May 14, 2026 at 9 a.m. Have a nice day, everyone, and a nice weekend.
Patrick Decostre: Thank you, everyone.
Stéphane Milot: Thanks.
Operator: This concludes today's conference call. Thank you all for participating. You may now disconnect your lines. Thank you.